Operator: Good day and thank you for standing by. Welcome to the Q1 2023 Materialise NV Financial Results Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Harriet Fried of LHA. Please go ahead.
Harriet Fried: Thank you everyone for joining us today for Materialise’s quarterly conference call. With us on the call are Fried Vancraen, Founder and Chief Executive Officer of Materialise; Peter Leys, Executive Chairman; and Johan Albrecht, Chief Financial Officer. Today’s call and webcast are being accompanied by a slide presentation that reviews Materialise’s strategic, financial and operational performance for the first quarter of 2023. To access the slides, if you haven’t already done so, please go to the Investor Relations section of the company’s website at www.materialise.com. The earnings release that was issued earlier today can also be found on that page. Before we get started, I’d like to remind you that management may make forward-looking statements regarding the company’s plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company’s future results and activities represent management’s estimates as of today and should not be relied upon as representing their estimates as of any subsequent date. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the company’s future business or financial results can be found in the company’s most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today’s call. A reconciliation table is contained in the earnings release and also at the end of the slide presentation. With that introduction, I’d like to turn the call over to Peter Leys. Go ahead please, Peter.
Peter Leys: Thank you, Harriet, and thank you everyone for joining us today. You can find, as always, the agenda for our call on Slide 3. As a first item on our agenda, I will summarize the highlights of our financial results for the first quarter of this year, and then I will pass the floor to Fried, who will give you some more contexts about how continuous innovation and value adding applications is creating robust growth. After that, Johan will walk you through our first quarter numbers in more detail. Subsequently, I will come back to give you some brief observations about our current view on what the near-term future will bring. When we’ve completed our prepared remarks, we’ll be happy as always, to respond to questions. And finally, after the Q&A session, Johan and Fried will briefly discuss the CFO change that we have announced earlier today. So let’s turn to Slide number 4, which summarizes the highlights of our financial results. Materialise performed extremely well in the first quarter of this year. Total revenues increased more than 24% to almost €66 million boosted by a 33% revenue growth at Materialise Medical and a 25% revenue increase at Materialise Manufacturing. Materialise Software also contributed to our consolidated top-line growth with a solid revenue uptake of more than 8%. Mainly because of scaling effects, but also because of the disciplined management of the impact of inflation, and because of certain cost containment measures, our adjusted EBITDA increased by almost 90% to €10.3 million. While our R&D efforts during the quarter grew by 15% compared to last year’s first quarter, the temporary slowdown of certain projects during the period also contributed to the exceptional adjusted EBITDA growth. And with this introduction, I would now like to pass the floor to Fried. Fried?
Fried Vancraen: Thank you, Peter. Good morning or good afternoon to all of you listening to this call. We believe the results of Q1 2023 demonstrate very clearly the robust growth that Materialise can generate through its activities. As Peter indicated, the growth numbers in our segment range from good to outstanding, and we turn those numbers into profitable growth. Sometimes as in the fourth quarter of 2022, we faced some headwinds, but robust growth also positions you to take advantage of some tailwinds. Solid management of our contracts yielded recurring revenue, but also made inflationary increases weight on our profitability in the second half of 2022. As the same contracts allowed for price adjustments starting this year, it was one of a few elements that provided tailwinds in this quarter. Above all, the robust growth was generated by the consistent performance of our people. They work hard every day to bring their collective know-how in support of our customers using meaningful AM applications to create a better and healthier world. If there is one segment that most demonstrated our robust growth potential this quarter, it was our Medical segment, especially in the medical device verticals, we generated growth. While there are already a solid good baseline growth for more than a decade this quarter, we could especially take advantage of the robustness of our systems as we experienced a combination of favorable market conditions, including a huge number of patients needing elective surgery. At the same time, some competing solutions faced technical or regulatory issues, which directed additional customers to our facilities. Thanks to the robustness of our solutions and the flexibility of our people, we could handle peak loads and deal with a high number of orders. We expect a high number of elective surgeries to continue in 2023, and we hope that several surgeons will keep preferring our solutions in the longer-term future. During Q1, we also expanded our collaborations with medical device companies and announced a new partnership with Exactech for the project Glenius. This is a 3D printed personalized shoulder implant that takes advantage of artificial intelligence in the planning phase. Glenius is a robust solution for a very complex and very severe revisions, oncology cases, congenital cases or trauma deviations. The Glenius solution for shoulders has a scientifically proven track record approaching 10 years of exceptional outcome results that are similar to dose of our aMace implant for hips that is already five years longer on the market. Turning to Slide 6. In Q4 2022, our software segment absorb costs related to the reorganization of several development teams to take advantage of the synergetic effects that last year’s acquisitions could bring. In Q1 2023, we saw the positive effect of these actions on the segments bottom line. More importantly, we are now beyond that phase and can gradually work on a renewed product portfolio that fits the CO-AM platform we have discussed in prior calls. We are launching Magics27 at Rapid in Chicago in just a few days. Magics27 has an even deeper integration into CO-AM to anchor Materialise leading position in 3D printing pre-press software. However, as the CO-AM platform is intended to empower our customers to control their entire additive manufacturing production lines, we are also launching a new application on CO-AM. This is called Materialise Process Control. It enables manufacturers to introduce quality control using data gathered during the 3D printing process. By analyzing and correlating layer data from the 3D printing process such as for instance 2D images. Users can identify defective parts before they are sent to post-processing and quality inspection. Those tasks account for 30% to 70% of a parts total manufacturing cost. Demonstrating the open nature of the CO-AM platform, the tool is being launched in partnership with Phase 3D and Sigma Additive Solutions. Materialise Process Control makes extensive use of artificial intelligence to help the use of and the mastering of the additive manufacturing process at our customers. Moving now to Slide 7. Robust growth in our Manufacturing segment was driven by very good performance in both the segment standard as manufacturing services activity and ACTech services activity. In past calls, I’ve mentioned a strong demand for engine and driving components for new sustainable transport systems act. As the demand has been rising, we are continuing to prepare our new plant for production. We expect to open it in 2024. In parallel, we are seeing good growth in our certified production activity, aiming at small series equipment manufacturers. While most of this work is confidential, we are able to disclose some of the work we are doing for the company Sartorius. Sartorius is a manufacturer of bioreactors for the life science industry and pharmaceutical production. Materialise has produced several 10,000s of components for Sartorius over the past few years. Those numbers are composed of many small series, even some unique parts. Critical requirements for them include biocompatibility and traceability. Many of those components are used in sterile conditions. It is obvious that working in a certified environment with strong AM process control is a must for a company that affects millions of people’s lives. As these examples illustrate, robust growth is based on constant innovation. We believe we can sustainably deliver for this innovation as we continue our R&D efforts, even in a difficult year such as 2022. And as Peter indicated before, in the first quarter of 2023, we have again reported a 15% R&D increase as we want to continue this robust growth in the following years. But extra R&D alone is not enough to ensure robustness in a company. Today, I also want to highlight the importance of our staff services that ensure that Materialise has all the governance systems in place to be a reliable partner for our customers. Our governance and internal audit department ensures that our teams pass all of the audits for the variety of governance systems that customers and external auditors require us to maintain. Materialise values quality management systems according to ISO 9001. We deliver medical devices and software according to ISO 13485 to ensure safe and effective products. For our collaboration with the aerospace industry, we have received EASA Part 21G and ISO 9100 certification. In addition to ISO 9001, ACTech is a DMV approved manufacturer for iron castings for ships and offshore products. And is EN 15085 certified toproduce parts for railroad vehicles. Our headquartersACTech andPolish facilities are ISO 14000 certified, reflecting our environmental management ambitions to work sustainable. Our Medical segment is close to being certified according to ISO 27000 on information security. We work within the framework of the Health Insurance Portability and Accountability Act, better known as HIPAA of 1996 in the U.S. and according to the European Union General Data Protection Regulation or GDPR in Europe, providing an environment that is consistently in line with all those government systems provides our customers with assurance that AM technology from Materialise is reliable and safe. Over to you, Johan.
Johan Albrecht: Thank you, Fried. I begin with a brief review of our consolidated revenue on Slide 8. Please note that unless otherwise stated, all comparisons in this call are against our results for the first quarter of 2022. Revenue grew in all three segments in total by 24.4% to €65.9 million and excluded the positive €1.7 million effect of deferred revenue. Our Software segment grew by 8%. Materialise Medical rose an outstanding 33%, and revenue in manufacturing made a 25% leap. The strong result was realized through a combination of solid volume growth and price increases. Cross segments revenue from software products represented 29% of our total revenue. On Slide 9, you can see that adjusted EBITDA grew by 89% to €10,310 million. We benefited from scaling effects and improved efficiency gains while we continued investing in research and development. Slide 10 summarizes the results of our Materialise Software segment. Here, revenue grew 8.3% to €11,350,000. Non-recurring revenue grew 9.8%. Recurring revenue, including the effect of CO-AM subscription fees increased 7.5%. EBITDA was €2,427,000 compared to €1,932,000. Moving now to Slide 11. You will see that Materialise Medical’s revenue grew by 32.5%, boosted by medical device solutions revenue that grew 39% driven by very strong performances in almost all of our business lines from direct and partner sales. The top line was further supported by a 20% revenue leap from software sales. Adjusted EBITDA amounted to €7,348,000. Our EBITDA margin increased to 30.2% through a combination of scaling effects and top line price increases. Now let’s turn to Slide 12 for an overview of the Q1 performance of our Materialise Manufacturing segment. Revenue grew 25% to €30.2 million boosted by our ACTech business line that increased 49%. Our core manufacturing business lines also performed well with a solid revenue growth of 11%, driven by end part manufacturing solutions that grew 20%, while prototyping solutions grew 4%. The robust revenue growth was converted into an EBITDA of €3.2 million, an increase of 600,000. Including adverse effects of higher subcontracting expenditure in our ACTech business line in which we are preparing the operational capacity for our new – from our new factory and continued investments in our Motion and Eyewear business lines. Adjusted EBITDA represented 10.6% of revenue compared to 10.8%. Slide 13 provides the highlights of our income statement for the first quarter. Gross profit margin grew to 55.9% from 54.5%. Our operating expenses increased €2.6 million, or 8.7% to €32.4 million. We significantly invested in our growth businesses, especially through R&D, which increased 15.3%. Sales and marketing increased 5.7%, and G&A increased 7.2%. These operating expenses also included the impact of our internal digital transformation project, whose first phases went live during the first quarter of the year. As a result of these elements, the group’s operating result was positive €5 million compared to 50,000 in last year’s period. Net financial loss for Q1 was €566,000 compared to a net income of €376,000 in Q1 last year. Net profit for the quarter increased to €3,715,000 compared to 127,000 for the 2022 period. Now, please turn to Slide 14 for the recap of balance sheet and cash flow highlights. At the end of the first quarter of 2023, our balance sheet remains strong. Cash amounted to €141 million compared to €141.7 million compared to €140.9 million on December 31, 2022. Total deferred revenue increased €1.7 million to 44.5 million from 42.8 million as of last year. Cash flow from operating activities for the first quarter of 2023 was flat €11 million. This quarter’s operating cash flow consisted of income statement components of €10.2 million, while our working capital increased 800,000. Capital expenditures for the quarter amounted to €3.3 million ever not finest [ph]. Peter?
Peter Leys: Thank you, Johan. In our fourth quarter call in February, we said we expected to report consolidated revenue between €255 million and €260 million. And an adjusted EBITDA between €25 million and €30 million for the entire year. Based on our strong first quarter performance, but also bearing in mind the continuing uncertain global macroeconomic environment, we now believe that our 2023 revenue will come closer to the top of our initially guided range, i.e. €260 million. Now, while we attribute most of our EBITDA growth to structural improvements, we do recognize that certain tailwinds also contributed to our strong first quarter results. Bearing that in mind, we revised our 2023 guidance upwards and now expect that our 2023 EBITDA will be between €28 million and €33 million. And with this, I would like to conclude our prepared remarks. So operator, if you could kindly please open the floor to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alexander Craeymeersch from Kepler Cheuvreux. Your line is now open.
Alexander Craeymeersch: Hi, good afternoon. So congratulations on the nice set of results. I was just wondering, so, how are the works going on the new ACTech facility? And maybe if you could remind us how much and when these investments are expected to be made? And then how much the facility is going to contribute on the top line and bottom line in the manufacturing segment as it appears that the recovery there is maybe going a bit slower than anticipated? And then the second question would be, how you see wage inflations moving? And if we can see the end of the OpEx rise and the OpEx cost can we expect them now to be under control? And then the final, as a final question on the Medical segment, could you just repeat why surgeons prefer your solutions over the other solutions? Because I think you mentioned that it was related to technical issues. But we all know that Materialise is very good at what it does. So I think it’s only – not only to technical issues. Could you repeat that please? Hello?
Peter Leys: Yes. I propose you have posed three questions and that we will distribute them a little bit. Yes. Starting with your ACTech question, we indicated that yes, the new plant we purchased will be taking this year to be reconstructed on one hand, but mainly we need expensive equipment there that has a long delivery delay approximately 18 months. So we hope to get fully operational in the beginning of 2024. This investment spread over multiple years as is in total in the order of magnitude of €30 million of which we did already some last year. And then yes, we believe that in a period of yes, five years approximately, this will double the output of ACTech [ph]. At this moment, the fact that we are already growing rapidly is waiting on the bottom line of our manufacturing activities because it means that certain steps of the production process we have to subcontract, which yes, causes our results to decline a little bit due to the expenses both internally and externally that are related to this subcontracting activities. And then I pass over to Johan to discuss the OpEx question.
Johan Albrecht: Yes. As Fried already mentioned that in the top line that we have had now in Q1 the positive effect of the inflation adoption for our annual contracts that could be revised in the beginning of the year that will further be adjusted according to the way that inflation will continue. We see also that inflation is decreasing in the countries where we are active, so that is also positive. It is also kept under control because we also anticipate in long-term agreements with our vendors, where we are hedging and managing the costs such that we can control it. Also, the salary increases as an effect that takes in place in our organization in the beginning of the year, but in Belgium it’s also adopted in by middle of the year. The fact that it is decreasing as a positive effect, but it will also weigh slightly on our next quarter’s results. Again, we – our products are of that quality that our clients are also prepared to assume the cost increase of inflation. And we – as it looks now, we see that we can continue doing so.
Fried Vancraen: Okay. So I lost Alexander. Your question regarding Medical, question why do surgeons prefer our solutions? I break up the answer to that question in two parts, if I may. First in general and then more related to the developments of the first quarter of this year. In general, I think, our personalized solutions in Medical are extremely successful for many reasons, but let me name three. First, innovation. We constantly sit together with the customer and try to innovate or bring innovation into our processes and into our products. Second, this fairly unique combination between innovation on the one hand and robust reliability on the other hand including the quality that Fried referred to earlier. Our products are innovative, but surgeons see that the products come in, in time, first time, right, top quality. And third, I would say, the personal touch because the surgeons can constantly remain in touch with our clinical engineers, which, I mean, further boosts the reliability and the potential to further fine tune the products to the specific needs of their customers. So hence the success of our product lines in general. Now, what has happened in Q1 – it’s sort of the tailwinds that Fried referred to. We learned that some of our competitors had either technical or regulatory issues, which meant that some of the medical device companies at least temporarily also directed business that was typically handled by those competitors, now to Materialise. Now, these issues at the level of our competitors are temporary. So, I mean, those surgeons may go back and are probably most likely to go back to their typical supplier. But, of course, they’ve had now access to these three components of the Materialise success story. And so obviously the, I mean, our expectation or our hope is that some of these surgeons may stick to our way of working. However, they will not all stick to our way of working. So hence our somewhat more prudent view on the continued growth also with respect to the medical devices for the next three quarters of the year. There you go, Alexander. I hope that you got three clear answers to your three questions.
Alexander Craeymeersch: Thank you. And maybe as a small follow up on the surgeons’ question. I mean, has this happened in the past? And can we expect, as you already mentioned, some stickiness from the surgeons’ perspective?
Fried Vancraen: Yes absolutely. But secondly, I want to repeat that the robust growth is already appearing year-after-year for nearly a decade as I indicated on those medical devices we have been discussing. And yes, okay. I think on average we reported 20% growth on those medical devices or above in previous years. So that’s the kind of baseline growth. Yes. When Peter was discussing these tailwinds that has made that we did well even much better in this particular quarter and with the 33% growth. Yes. So – and that is the combination that we had in our favor, but the robust baseline growth is present, and we believe as personalization is a big trend in the medical industry will continue to be strong in the years to come.
Alexander Craeymeersch: Okay. Thank you. And again, congratulations.
Peter Leys: Thank you.
Operator: Thank you. All right. [Operator Instructions] Our next question comes from the line of Gregory Ramirez of Bryan Garnier & Company. Please go ahead.
Peter Leys: Hey Gregory.
Gregory Ramirez: Good afternoon, and thank you for taking my question. Hi. Yes, we just come back the software division because when you look at the cost base in Q1, it’s pretty low. It’s coming back to basically the cost base, we had in Q1 2022. And I was just wondering how – what extent this cost base could be sustainable. Do we have some – there may be some one-off items. And just to come back to the base of improvement of the margin in the software division, if I remember well, the goal was basically to come back to 35% margin. There are pretty late may be by the end of 2025 if I remember well, the software division. So see, does the situation in Q1 order narrowly have unexpected improvement? Because yes, going from minus 12% in Q4 2022 to plus 21% in 2023 looks a bit amazing.
Fried Vancraen: Yes. Well, yes, Gregory, as we indicated during our previous call, yes, software was struggling in Q4 because we had some – yes, and we had some yes, costs related to the reorganization of our teams. And on top of that yes, in over entire 2022, we had some let’s call it double teams that were needed to do the quick connection between the Materialise Software, the Link3D software, and the Identify3D software. Now, we gradually shift into a real integration mode that we do with more team and we take advantage of the reorganization, but you are right that also in software, we have a bit of tailwind because and Peter said this during his remarks because we have some projects that unfortunately are delayed because we have some troubles finding all the right people to make sure we can work in the new way. So – and that’s unfortunate. And yes, on one hand, it’s good for our bottom line. On the other hand, we are concerned and we will try to generate a little bit more costs in the next quarters as fast as possible in order to execute the projects we currently have in our pipeline.
Gregory Ramirez: Okay. All right. Good. Thank you very much.
Peter Leys: Thank you, Gregory.
Operator: All right. Thank you. All right. Since we do not have any other questions. I would now like to turn the conference back to Mr. Johan Albrecht. Please go ahead.
Johan Albrecht: Dear Materialise fans, today, I commented on the results of Materialise for the last time, as I decided to leave the company at the end of May. I just want to take a moment now to express my gratitude to Materialise and each and every one of you for the amazing journey we’ve shared together over the past eight years. Working alongside, so many talented and passionate colleagues has been an honor and a privilege. It’s been a wild ride. But we’ve accomplished a lot together in the past eight years, and I’m incredibly proud that I could present the positive trends in terms of growth and profitability as the quarters followed each other. I’m convinced that Materialise is an excellent shape to further achieve long-term profitable growth and to further evolve as a leading 3D printing NASDAQ listed company. After a short break, I’ll be exploring new opportunities for my next adventure, and I wish you all the very best in your continued success, both personally and professionally. Thank you. Take care and keep in touch.
Fried Vancraen: Johan, we are very grateful for the many valuable contributions you made during these eight years as CFO. Johan, you have built strong SOX-compliant financial reporting and control systems. You have enhanced our financial position, and you have put tools in place and the measures to help materialize achieve our goal of long-term profitable growth. We will miss you as our CFO, but also as a highly appreciated colleague. I’m sure some people in this call have also multiple contacts with you, and they will certainly appreciate your professionalisms combined with a very fine humor that makes even dull, but important financial data digestible. We will ensure a smooth transition to a new CFO, as of May 15, Koen Berges will join Materialise as the new Chief Financial Officer. Koen Berges brings more than 20 years of experience in financial leadership in various business environments, ranging from large multinational corporations to leading a family holding. He has played a key role in building financial strategies for many years, including in IT infrastructure companies, an area where Materialise see significant growth opportunities with our OEM initiative. We welcome him to Materialise and look forward to his contributions. But again, thanks, Johan for your service and accept our deep appreciation for all what you have done for Materialise. Thank you very much.
Johan Albrecht: Thank you.
Peter Leys: Thank you, Fried and Johan. Johan, I would like to echo Fried’s kind words and also thank you for your very valuable professional contributions to Materialise, but also for the very pleasant working relationship that you have established with so many colleagues internally, including myself and as Fried alluded to, also with so many external partners. I wish you the very best for your post Materialise time and simultaneously together with the colleagues, I look forward with confidence to continuing the Materialise journey together with your success with Koen Berges. And with that, I would like to conclude our session for today. Next week at Rapid in Chicago, Fried will be present together with the heads of our medical and software divisions, Brigitte and Bart. If you did not yet reach out to us to arrange a meeting with either any one of them, then please feel free to do so and we will do our utmost best to accommodate your requests. Thank you and goodbye for now.
Johan Albrecht: Goodbye.
Fried Vancraen: Goodbye.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.